Operator: Good day, and welcome to the Cogeco, Inc. and Cogeco Communications, Inc. Q1 2021 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Senior Vice President and Chief Financial Officer of Cogeco, Inc. and Cogeco Communications, Inc. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Good morning, everybody, and welcome to our first quarter conference call, which Philippe Jetté and I’ll cover. So before we begin this call, as usual, I would like to remind listeners that the call is subject to forward-looking statements, which can be found in our press releases issued yesterday.
Philippe Jetté: , Patrice, and good morning. Thank you for joining us to discuss the financial results of Cogeco Communications and Cogeco, Inc. Let me first note that we are very pleased with the overall performance of Cogeco for the first quarter of 2021, as both our Canadian and American broadband segments showed strong increases in EBITDA compared to the first quarter of last year. This is largely explained by unique circumstances that were favorable to our business. During the quarter, we continue to experience some of the trends from the past quarters, higher demand from our residential high-speed Internet products and the deferral or reduction of certain expenses due to a more stable customer base as a result of the COVID-19 pandemic. In these unusual circumstances, we have decided to delay certain sales and marketing expenses to the second-half of the year in both countries. As for our radio operations, they continue to be negatively impacted by the pandemic, but to a lesser extent than the previous quarter. Although, we are pleased to report strong results in the current circumstances, we remain cautious in our management as uncertainties remain under potential of human, operating and financial impact of the pandemic. Starting with Cogeco Connexion’s recent initiatives, I am pleased to report that we closed the acquisition of DERYtelecom on December 14. The acquisition of the third largest cable operator in the province of Québec enables Cogeco Connexion to expand its activities in more than 200 municipalities in Québec and adds approximately 100,000 customers to its base. This key strategic acquisition has increased our foothold in Québec and is highly complementary in terms of geographic areas. We expect the -- that the DERY -- the acquisition of DERY will generate superior growth relative to our current Canadian operations, as we will pursue DERY’s network expansion and introduce Cogeco Connexion’s product lineup. During the quarter, we continued to gradually roll out our IPTV service called EPICO, which is now offered in approximately 85% of our Canadian footprint. We are planning to launch a marketing campaign next week, which will allow us to attract new customers and upsell a portion of our current customer base. EPICO provides many benefits, such as customization settings for customers, access to the Google Play Store, integration with OTT platforms, a Wi-Fi connection, self installation capabilities, and an overall lower delivery cost.
Patrice Ouimet: Thank you, Philippe. For the quarter, revenue at Cogeco Communications is up 5.7% and EBITDA 10.5% in constant currency when compared to the previous year. This was driven by EBITDA growth of 8.9% at Cogeco Connexion and 14.3% at Atlantic Broadband. So consolidated revenue reached $619 million and EBITDA reached $311 million, generating a margin of 50.3%. Free cash flow is also increased by 36.9% in constant currency. The increase is mainly due to higher EBITDA, but also a decline in capital expenditures, financial expenses and current income tax. Capital intensity in the quarter was 18.8%, which is slightly lower than the 20% target we have for the full year. Quarterly dividend has been reconfirmed at $0.64 for Cogeco Communications and now we’ll discuss the components of it. At Cogeco Connexion in Canada, revenue has increased by 2.2% relative to the same quarter last year, mainly due to the cumulative effects of sustained demand for residential high-speed Internet since the beginning of the pandemic, a better product mix and rate increases implemented for certain services. Cogeco Connexion’s EBITDA increased by 8.9% as a result of increased revenue and the decline in operating expenses. Now, the decline in OpEx is due partially to lower sales and marketing activities referred to the second half of the year in the context of the pandemic and lower compensation expenses resulting from an operational optimization program implemented during the fourth quarter of last year.
Philippe Jetté: Thank you, Patrice. On the basis of a strong first quarter, fiscal year 2021 looks very promising, despite the unfavorable economic impacts related to the pandemic, as we will continue to manage our costs closely and pursue profitable growth through various organic initiatives and acquisitions when possible. Pro forma the DERYtelecom acquisition are 2.5 times net leverage leaves ample room for other acquisitions and share buybacks. True to our commitment to bring new services and competitive choices to our communities, especially in underserved regions, we remain engaged in launching a mobile wireless service in the regions we serve, if the regulatory conditions are conducive to our entry in the market and are meeting our financial return objectives.
Operator:  Your first question comes from Vince Valentini from TD Securities. Please go ahead. Your line is open.
Vince Valentini: Yes. Thanks very much, and congratulations on these strong first quarter results. First, Patrice, probably, can you flesh out a bit more of the deferred marketing costs that you’re talking about both in terms of quantity, if you can, are you talking $5 million or $10 million that you expect to catch up on spending in the next three quarters? And also in terms of timing, I assume it starts in the second quarter if your launch of IPTV goes more public starting next week. I assume the costs ramp up at that time, so that’s question number one. Number two, just more broadly on allocation of capital and share buybacks. With your free cash flow guidance going up pretty substantially to low double-digit from low single-digit growth for this year and your balance sheets, obviously, still pretty strong even after paying for DERY. Is there any consideration to increasing the share buyback program either the NCIB getting more active or perhaps even a substantial issue a bit? Thank you.
Patrice Ouimet: Great. Good morning Vince. Yes. So on the OpEx side, the -- so if we look -- this is a story for both countries for different reasons. What happened is the COVID situation has slowed down the number of connections and disconnections, and for that reason, we thought it was wiser to defer some of these expenses as the economy gets back to normal in the back end. So you should expect that there’s going to be more in Q2, but especially more than that in Q3 and Q4. It will be difficult to quantify what it is, because actually even the exact standing by quarter is not fully determined yet and what we would have normally spent this quarter without COVID is undetermined as well. So that’s why we prefer referring to yearly guidance and we provided -- we’re a bit more precise than usual on ABB and CCX or Cogeco Connexion to help you with this. So difficult to quantify more than this, but I would say, our ramp-up throughout the year. You also know that our Q4 ends with the back-to-school, so that’s normally carry upward, there is more activity. On the capital allocation, we are absolutely in favor of buying back shares. We have been fairly active, I would say, over the past year. Except in the fall given the circumstances that you know well, we were advised to not buy shares, so that’s why you did not see anything, but we are planning to be active in the future in terms of buying back shares. Normally, an NCIB allows for significant capacity. Our program allows for up to 10% of the float. And given that we have embarked in the couple of months, we have ample capacity in that program.
Vince Valentini: Thank you.
Operator: Your next question comes from Jerome Dubreuil from Desjardins. Please go ahead. Your line is open.
Jerome Dubreuil: Yes. Thank you very much. Thanks for taking my question. We’ve seen a strong acceleration in U.S. growth. Can you please break down what proportion of this growth is due to political ad rates increase in maybe subscriber we can calculate it, but what do the other two, please?
Patrice Ouimet : Yes. The political ads are -- this is something we don’t control. Obviously, it depends on the agenda and it did add about 1% to revenue in the quarter versus last year and about 2% to EBITDA. This goes directly down to the EBITDA line, because there is no cost attached to it. Now in terms of price increases, subscriber increases and also a better product mix, as we’ve been able to sell higher packages than usual, I would say, it’s a mix of all three. There is not necessarily one element that represents 80% of it. So it’s a mix.
Jerome Dubreuil: Thanks. And regarding the acceleration in broadband net additions in the U.S., I’m just trying to understand, if this could impact the seasonality of future net adds. Do you think there is a lot of summer homes maybe? Should we expect more seasonal disconnections going forward?
Patrice Ouimet : Well, when we bought MetroCast, there was a bit of adjustment in the year-over-year comparison, but we’re past that now. So I would not assume anything major. You should note, however, that Florida was stronger than usual in terms of the new, I would say, lighting up of the bulk contracts. These contracts takes -- take a bit of time between selling, building and lighting up the building. So both in video and HIS, Florida has added about 3000 to 4000 PSUs, so that’s for both video and HSI. And so it’s been a bit more spotty than usual, but still very good performance on HSI besides this. So going forward, we do expect to have better performance in the U.S. in terms of PSU additions than usual given the COVID situation.
Jerome Dubreuil: Thank you.
Operator: Your next question comes from Matthew Griffiths from Bank of America. Please go ahead. Your line is open.
Matthew Griffiths: Hi. Thanks for taking the question. I wanted to ask about the Atlantic Broadband and the broadband first strategy, which seems like a little bit of a pivot. I think, previously, there was a focus on the bundle. And I was just wondering what you have seen in the U.S. that made you shift like this and what you hope the impact will be going forward? And maybe separately, on the integration of DERY, if you could layout some milestones that you’re expecting in the integration, whether it’s -- I’m thinking of the realization of costs that you may have to incur upfront and maybe the realization of synergies as we go throughout the year, anything you kind of talk about how the integration that is expected to play out? Thanks.
Philippe Jetté: Thank you, Matthew. It’s Philippe. I will address the broadband first. Patrice will add more on DERY. To summarize, the change or the shift that is happening in the market, it’s in part driven by the technology change. Video was delivered on dedicated video networks, as we all know in the past, and now video is actually moving as an IP application or an IP service over the top of these broadband faster and more quality broadband networks that we’ve been building everywhere. So not only broadband to connect to the high-speed Internet is, there is a strong increase there, but video consumption on top of broadband is becoming more and more popular. So that will certainly create a world where legacy video will remain for a long time as it winds down and will take time, but the new video markets are mostly broadband-driven. So that’s why we’re shifting to a broadband first, making sure we can install the fast and high-quality networks, as well as Wi-Fi inside the home to make sure that every device, every laptop, every iPad, every connected device inside the home, including the video devices, benefit from a strong Wi-Fi platform. So that’s the shift that is happening and that we’re staying ahead of. Now for DERY.
Patrice Ouimet: Yes. For DERY actually we -- so we closed about a month ago and things are going well. Obviously when we make acquisitions like this, there is an integration of the teams reporting lines. So that’s been done already. There is also integration of the systems, which takes a bit more time. So that’s going to be a bit later in the year. And we do expect to generate additional revenues from bringing the Cogeco product line up to DERY including on the business side. So this will start soon. And there is cost synergy on procurement that is already in motion. So I would say, I would expect that all these things will fall into place throughout the year. That was the plan initially and starting next year, we’re going to be a normal mode of operation.
Matthew Griffiths: Okay. Thanks.
Operator:  Your next question comes from Jeff Fan from Scotiabank. Please go ahead. Your line is open.
Jeff Fan: Thanks. Good morning. Hope you guys are all well. I want to follow up on the U.S. broadband only. I understand the rationale and I’m wondering what you think that move will have the impact on margins, because we’ve seen other cable companies, smaller ones, secondary -- in the secondary market that are focused on broadband-only strategy and we’ve seen pretty significant margin expansion. Your ABB segment has about 45% and I mean 50% margins are not unreasonable to think about. So I am wondering if you can comment there in terms of the medium, longer term impact. The second question is on Canada and just to follow up on, Philippe, your comments about entering the wireless market, leaving spectrum and leaving regulatory aside, from an operational perspective, I just want to hear your thoughts or your take on the readiness of Cogeco to enter the market, specifically when we talk about things like billing systems to handle wireless customers, whether you plan to invest in your core retail locations. I am wondering if you can just touch on that maybe in the general sense about the potential cost impact when and if you do decide to enter as a wireless player? Thanks.
Philippe Jetté: Okay. Well, I’ll just touch briefly on the video broadband margins. Patrice can complement and I will answer your wireless question. So, on the shift to broadband. There is definitely an increase in margins there. We all know the contribution margin of broadband is good. And we -- as customers will shift from a legacy video network delivery and legacy CPEs as well that are very costly to the new ones, IP base on the broadband, fiber optic networks that we’re building. There will be an improvement over time there. So that’s a gain. Now on the wireless side, it’s still too soon with absence of decisions from the CRTC and other decisions that industry Canada could make and announce in the near-term future to disclose our go-to-market strategy. But let me say this, the -- on the adding a wireless -- mobile wireless layer to our networks in the operating areas, the current operating areas. We have ample capacity. The transport of all these -- of all the singles can be made very easily. We simply have to add the radio access network. The core in terms of transport is already built. It is our -- it is feeding our broadband strategy today. We have a number of systems that were upgraded in recent years that could handle easily things like commissioning and billing. There is a small -- very small addition due to the core network that we need to make. We know exactly what to do and how to do it. Now as to the model for the go-to-market that we will choose, I’ve said it many times we will bring more competition to the marketplace with a leading edge market in terms of go-to-market. So I won’t expand more for obvious competitive reasons at this point, but we are first and foremost, expecting the CRTC and I said to address the barriers to entry for regional players like Cogeco throughout Canada. So back to margins with Patrice.
Patrice Ouimet: Yes. So, basically what our strategy in the U.S. is more an evolution rather than the break from what we’ve been doing in the past. Obviously over time we’ve been migrating towards like the whole industry having the broadband as the key product, but the way we restructuring our go-to-market approach, it’s really going to be focus, it’s going to be more visible than it used to. So it’s more of an evolution, and as Philippe said, with new tools, as well, new better devices in the home to provide a better service from a broadband standpoint. That being said, we did generate about 45% margin last year. We would expect margin to increase a little bit this year. It’s -- our goal is to remain profitable and generate free cash flow on video, which we’re doing today. And as we move into an IP mode eventually, we’re not there yet in the U.S., this how decreased costs as well and make sure that we have a viable and profitable video products. So difficult to say where we will be in the future. But we would rather have a gradual increase in margins over a good revenue base than accelerate margin on a declining revenue based on video. So that’s the goal at this point.
Jeff Fan: Thanks for the color.
Philippe Jetté: Well, maybe we could just simply add, as well as the CPE are costing far less with IP -- on IP and broadband networks. The CapEx savings there will also be reused for network expansion. So we will grow these broadband networks and the video expenditures will decline.
Jeff Fan: Great. Thank you.
Operator: Your last question comes from Tim Casey from BMO. Please go ahead. Your line is open.
Tim Casey: Yes. Hi. Thanks. I’m wondering if you could give us, given as you say, it’s an evolution in the broadband, would you be willing to share any numbers on what the ARPU levels you’re getting out of broadband in both territories? And the second, just a point of clarification, Patrice, you said prices start to come in January I believe in the U.S. Could you just review for us the magnitude of price increases, I guess, on both sides of the border and when they would kick in? Thank you.
Patrice Ouimet: Okay. Let me start with the last one. So on video price increases, we normally sign multiyear contracts. So usually there are two-year or three-year contracts and there is some years that are more lumpy than others. This year there is a bit more than last year starting in January 1st, it’s not all the contracts, it’s a portion of them. And in Canada, it’s a bit more normal. Overall in both countries, on a per customer basis we expect mid single-digit increase in video cost. It used to be higher than this in the U.S. It used to be a low double-digit at one point and so that’s why we’re managing this closely. Sometimes we have to make choices also on the video programming that we carry to make sure that the channels we carry are profitable and we can generate the revenue on. So that would give you revenue a bit. So you should not expect a great increase or but even last year, a number of programs that kick in on January 1st. Now we don’t segregate our revenue by or our ARPU by product. So that’s not really something I could comment on at this point. However, with the new strategy, which is early days, we have it in market right now and we’ve had it in the non-promoted fashion. So it’s small scale just to test the water, it is going well and we’ve been able to increase ARPUs, especially on the broadband side so far for with what we have. So we’ll be able to talk more to that once we are at a larger scale in market and comment on what we’re seeing.
Tim Casey: Thank you.
Operator: And we do have a follow-up from Vince Valentini from TD Securities. Please go ahead. Your line is open.
Vince Valentini: Yes. Thanks for getting me back in. A couple of things we haven’t addressed. Could we see timing of your own rate increases to customers as opposed to the programming cost increases that you’re absorbing? I think some of that have got delayed because of the pandemic over the past 12 months. Can you just level set us or remind us when the last price increases were and what the most likely schedule is for the next round? And then the other question just for Philippe if you want is, the outlook for acquisitions in the U.S. Any update there on how the pipeline looks or the targets that could become available, are things is there much for sale or price is still pretty high. Do you have any hopes, if something might get that in the next six months to 12 months that would be great? Thanks.
Patrice Ouimet: Okay. So, on price increases, we did have some price increases on some products in Ontario in June and we had some in Québec in starting in November. Overall, if you take the two of them, it’s about 3% on an annual basis and that does include video as well. So we need to obviously increase prices on our products to match inflation and then we need to be able to maintain margins on video, so that about 3% in the U.S., it was about 4% and the price increases were done in September. As to the future, it’s something we generally don’t comment on, because we prefer announcing it to our customers at the same time. And these decisions vary during the year, especially during COVID. As you pointed out, we did slow down the price increases by a number of months to help our customers. So we’ll see -- we’ll have to see how this plays out in the future. But I would not necessarily assume anything unusual going forward.
Philippe Jetté: For M&A in the U.S., we continue to view the a sizable potential in the U.S. market. There is a number of companies still between 30 to 40, maybe a little bit more. But the pandemic certainly add an effect there. Conversations are taking place, but negotiations have been slowed down. So we continue to be optimistic. We continue to work very hard on acquisitions and you’ve seen that we’ve closed three in the past year. We would like to do more than that, but we have to be -- we are good partners, but we need to take the time it takes to do it well and do it right.
Vince Valentini: Thanks.
Operator: I would now like to turn the call over to the presenters for any closing remarks.
Patrice Ouimet: Okay. Well, thanks for participating today. We’re going to be back with the second quarter results in April and feel free to call us if you have any questions in the mean time. Thank you. Have a good day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.